Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Ayro, Incorporated Year-End 2022 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]. Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately one hour after the end of the call through June 23, 2023.  At this time, I'd like to turn the floor over to Joey Delahoussaye of CORE IR, the company's investor relations firm. Sir, please go ahead.
Joey Delahoussaye: Thank you, Jamie. Good morning and thank you for participating in today's conference call. Joining me from Ayro's leadership team are Tom Wittenschlaeger, Chief Executive Officer, and Dave Hollingsworth, Chief Financial Officer. During this call, management will be making forward-looking statements, including statements that address Ayro's expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the Risk Factors described in Ayro's most recently filed annual report on Form 10-K and subsequent periodic reports filed with the SEC and Ayro's press release that accompanies this call, particularly the cautionary statements in it. Today's conference call includes adjusted EBITDA, a non-GAAP financial measure that Ayro believes can be useful in evaluating its performance. You should not consider this additional information in isolation or as a substitute for results prepared in accordance with GAAP. For a reconciliation of this non-GAAP financial measure to net loss, its most directly comparable GAAP financial metric, please see the reconciliation table located in Ayro's earnings press release, which is available on its website at www.ayro.com under the Investor tab.  The content of this call contains time-sensitive information that is accurate only as of today, March 23, 2023. Except as required by law, Ayro disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to CEO, Tom Wittenschlaeger. Tom, please go ahead.
Thomas Wittenschlaeger: Hey, thank you, Joey, and good morning to everyone on the call. The fourth quarter of 2022 capped off a year of what we feel is significant progress at Ayro. We generated sales from our legacy product, the Club Car Current, and made additional progress in the design and sourcing of the Ayro Vanish along with the build out and tooling of our manufacturing facility right here in Round Rock, Texas.  As I've discussed before, the Vanish is our first low-speed electric vehicle to be designed and developed based on the new common core chassis strategic roadmap. The Vanish is a utility LSEV or low-speed electric vehicle with a lightweight architecture and adaptable bed configurations to support both light duty and heavy duty applications. It was designed to leave minimal impact on the environment, has zero emissions, making it well suited for both indoor and outdoor uses such as in stadiums, arenas, campuses, resorts, and last-mile delivery environments, as well as other situations where toxic fumes are a safety concern. It will be street legal and will be governed to a max speed of 25 miles per hour.  The Vanish [Technical Difficulty] discrete components and the very large majority of these are being sourced from North America. The MSRP of the Vanish chassis is anticipated to be about $34,000, while we intend to sell its interchangeable payloads for roughly $1,000 to $5,000 each.  In terms of our performance through the end of 2022, revenue in the fourth quarter came from continued sales of legacy Club Car Current units. And we've now sold off nearly all of the inventory of this product. While we anticipate that some sales of the Current will trickle into the first and second quarters of 2023, these will likely be minimal.  However, we expected and planned for this dip in revenue as we aim to complete the transition from the legacy Current to the next generation Vanish in the first half of 2023. While revenue may decline these next two quarters until the Vanish is in production, we believe our quarterly cash burn will be in the same range as it has been over the last three or four quarters. Our team has done a great job of managing total operating expenses, as evidenced by a nearly $11 million decline in total OpEx in 2022 over 2021.  Cash and marketable securities at the end of 2022 were approximately $49 million, implying a cash runway that exceeds two years at current spending levels. The reduction in operating expenses and cash burn is not an insignificant feat, mind you, given that this has occurred even as we were running at breakneck speed to design a new platform, design the first vehicle on that platform, and begin the manufacturing build out of our Round Rock, Texas facility.  Another major change going into 2023 is that we no longer rely on Cenntro or any other suppliers from China to source any vehicle components. We no longer rely on Karma Automotive in California for vehicle assembly, nor on Club Car for exclusive distribution. Instead, we have an entirely new supply chain that largely eliminates shipments from Asia, and we're developing in-house manufacturing capability that we believe will allow us to control our own destiny, so as to speak, as well as enjoy higher margins per vehicle at scale.  As I've always maintained, the long-term success of Ayro should be based on the success of the entire common core chassis family of vehicles, of which the Vanish is expected to be the first of three to be launched. This success will be driven by the hard work, experience, ingenuity and creativity of our entire team.  Customer acceptance and market penetration of our vehicles is paramount, and we believe this will ultimately be reflected on our anticipated future sales and profits, not in how we performed in the rearview mirror or under a different strategic direction. Crucially, this is why there's considerable optimism and anticipation within our own ranks despite the tenuous economic backdrop and stock market malaise.  Currently, the Vanish is preparing to enter the homologation phase, which is the certification and approval process that all vehicles must go through that involves crashing, crushing and rolling a vehicle to ensure it's safe, and that it complies with LSEV governed speed requirements prior to it being allowed into the marketplace.  Furthermore, homologation will also ensure that the Vanish meets the California CARB requirements for zero emission transportation. Homologation is generally a 12-week process, and we believe that we will successfully exit homologation sometime in June.  While homologation is underway, we will be simultaneously focused on efficiently ramping our supply chain, which is a pivotal step in being able to maximize the production and sell-through of the Vanish and placing additional Vanish units with dealers for demo purposes.  Following homologation, we expect to enter LRIP, or low rate initial production, by the end of June. Thus, any initial sales of the Vanish will likely be rather small until the second half of 2023.  However, do not take that to mean we haven't yet begun our sales and marketing outreach for the Vanish. On the contrary, we've already announced our first authorized dealer. We're in various stages of negotiation with more than 50 additional dealers in the U.S. and Canada, and have what appears to be a substantial expression of interest for the very first units off our assembly line.  Thus, we believe our pipeline of potential dealers as strong, as is dealer interest in that Vanish product, which we believe offers numerous design, ergonomic and technological enhancements, along with the total cost of ownership advantages over the status quo products currently found in the marketplace.  Bringing a new vehicle to market takes time. But I firmly believe that the last 15 months of effort by the Ayro team was necessary to lay a proper foundation for what we believe will be our sustainable growth phase. The real beauty of our strategic roadmap is its subsequent vehicle launches will use essentially the same critical components as the Vanish, meaning there should be very little design effort and retooling needed for future potential vehicles, which would substantially shorten the time to market for those vehicles that can address a completely different segment of the EV marketplace.  Also important in our corporate strategy is the development of a strong IP portfolio. Intellectual property can act as barriers to entry by competitors and contribute greatly to stockholder value. Hopefully, you've seen some of our recent press releases highlighting our IP progress. We continue to gain momentum in IP as some patents have already been issued, multiple matters are currently in examination, and we filed certain patent continuations and will be filing even more patent and trademark applications in the future to help strengthen our corporate moat.  Creating a sustainable solution in the EV space motivates us, and our solutions are neither trivial nor obvious. We believe the world will increasingly trend toward successful sustainability, and having an IP around our assets should only make us a more valuable company.  That concludes my opening remarks. Now I'd like to turn the call over to Dave Hollingsworth, who will review our financial results in more detail. Dave?
David Hollingsworth : Thanks, Tom. And good morning, everyone. Here's a summary of our fiscal year 2022 financial results. Revenue for the year ended December 31, 2022 was $2,990,497, an increase of 11.4% year-over-year. The sales recorded in the fourth quarter of 2022 represent the runoff of our Club Car Current inventory as we transition to the Ayro Vanish. Annual sales increased due to growth in sales of the outgoing Ayro products. Total operating expense for the year 2022 were approximately $20.2 million as compared to $31 million in 2021. The year-over-year decrease in total operating expenses was due primarily to reduced research and development expense resulting from discontinuation of the previous 311x product development and reduced general and administrative expenses due to reduced general spending implemented during the corporate and strategic review by the management team.  Adjusted EBITDA, a non-GAAP measure, for 2022 was a loss of approximately $18.5 million versus a loss of approximately $25 million in 2021.  Net loss in 2022 was approximately $22.9 million, which was an improvement from a net loss of approximately $33.1 million in 2021. The decrease was a result of the cost cutting measures implemented by the management team, but was impacted by a $2.35 million in adjustments, namely the NCM failure and certain write-offs.  Cash and marketable securities at December 31, 2022 was approximately $49 million versus $69.1 million at the end of 2021.  Total debt was zero at December 31, 2022 as it was December 31, 2021. As of December 31, 2022, the company had 37,352,203 common shares outstanding.  That concludes my prepared remarks. I'd like to turn the call over to Tom for any remaining comments.
Thomas Wittenschlaeger: Thank you, Dave. In summary, 2022 was a year of progress at Ayro on many fronts. Revenue grew 11% year-over-year. We now have very few remaining units left of our legacy vehicle, the Club Car Current, for sale.  However, and I would contend more importantly, total operating expenses were down nearly $11 million in 2022 versus 2021, which we feel is a testament to our team's ability to prudently manage expenses even while building a platform that we believe will provide sustainable growth.  Lastly, and most importantly, we made significant progress in the design of the common core chassis platform and our first internally developed vehicle, the light duty utility vehicle, the Ayro Vanish. We believe we're very close to entering production and achieving sales of this new generation of vehicles.  It is my belief that this next phase of our corporate trajectory will be a much better barometer of our future than anything else in our corporate history. Furthermore, once the Vanish has successfully launched, we intend to turn our efforts to finishing the design of our next two vehicles, a people mover called the Ayro Valet, and a personal transport vehicle, or POSITIVE, which should have similar functionality to a traditional golf cart that we call the Ayro Vapor. However, we believe the Vapor will be unlike any other golf cart on the market today. We'll have much more to say about those initiatives at a later time.  As always, I'd like to thank all of our stockholders for their continued support, and I look forward to sharing additional corporate updates over time. And with that, I'd like to turn the call over to the operator, so we can begin the question-and-answer session. Operator?
Operator: [Operator Instructions]. Our first question today comes from Brian Lantier from Zacks.
Brian Lantier: I think it's really encouraging that you're still on pace to meet the initial deliveries of the Vanish in Q3. One question I guess I have is about the future models. Will they be subject to the same homologation process for Valet and Vapor? 
Thomas Wittenschlaeger: The answer to your question is yes. Homologation is a platform-specific activity. We expect the homologation process which generally spans 12 weeks to remain relatively constant along all platforms. Obviously, as we proceed through homologation on a common core platform architecture, we expect very few surprises. So the timeframe remains the same. But we anticipate literally flying through homologation without many issues on a go-forward basis.
Brian Lantier: I guess, secondly, are there any particular industries or use cases that are coming up when you're talking to potential dealers or customers that are in line with your initial expectations? Or maybe even surprising you where some of the initial interest is being shown for the Vanish?
Thomas Wittenschlaeger: Well, that's very good question, Brian. And today, the segments that we expected are showing brisk interest. So, if I had to categorize them, I would start with a segment that just we would call fleet refresh. So the refresh of commodity fleets, which generally are refreshed whether you're into the resort business, in the golf business, in the marina business, and any of those businesses, they can really refresh every three or four years. And those refresh cycles are necessary because the quality of their commodity products is such that that's their effective lifetime. We're seeing a lot of interest there, especially because the lifetime of our product is anticipated to be more than double that. So, the economics of the refresh cycle change dramatically.  We're seeing fairly substantial interest from the expected places from resorts, from golf, from those segments. So in the bigger picture, there aren't any startling surprises. There's always a surprise from a distribution and where the initial expressions of interest are. But that's just part of launching a brand-new product.
Brian Lantier: I saw in the 10-K that you're attempting to position on the GSA schedule. Do you think that is a possibility in 2023?
Thomas Wittenschlaeger: Well, it certainly is. And the way we're beginning that positioning is through partners that already have GSA presence that would add our offering to their existing GSA schedule position. So it's not the case, Brian, that we're going to ourselves try to get on the schedule, but rather we're going to focus on being an addition to the schedule with select partners and already have that presence.
Brian Lantier: I guess one quick question for Dave is, in the 10-K, it says the Cenntro inventory is about 244,000. So if I back out that number from the inventory, the bulk of the inventory is principally new Vanish-related inventory?
David Hollingsworth: It is That's correct. We have, like Tom said, a few holdovers of the legacy product that we're rolling into this first half of this next year. But, no, the vast majority of our product is our build up for inventory to complete the LRIP for the Vanish.
Operator: [Operator Instructions]. And our next question comes from Mike Quinlan [ph] from CNC [ph].
Unidentified Participant: Real positive stuff. Just one real quick question. I noticed in the 10-K, we're coming up on April 3, which I believe is the 180-day extension for the NASDAQ minimum bid rule. So I guess my question is, have you all applied for an extension? Is that extension being granted? And being that we're less than 10 trading days away from April 3, getting to $1 would obviously not be realistic. Is there any strategy to cure that? Or kind of what is your strategy in terms of the outstanding shares there?
Thomas Wittenschlaeger: There's two questions there, Mike. And I'll take the first one. We been in constant contact with the NASDAQ and fulfilling all of their rules that are going to be applied to us as we still remain below $1 a share. So, they are up to date with us. And we know that that will continue to move forward per their rules into the year.  Now the second question, more of how we want to combat that, will be for us the delivery of the sales of the Ayro Vanish. We believe that investors want to see this product verified by the marketplace. And by delivering those units and finding those dealers, to see that stock price reflect that hard work over the last 15 months.
Brian Lantier: You don't anticipate delisting on the 3rd or are you granted the other 180-day extension beyond that, I guess, is my ultimate question. 
Thomas Wittenschlaeger: Yeah, exactly. [Multiple Speakers].
Operator: And ladies and gentlemen, with that, we have reached the end of today's question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Thomas Wittenschlaeger: I'd like to thank all of you for participating on today's call and for your interest in Ayro. We look forward to sharing our progress on the next quarterly conference call when we report our first quarter 2023 results, likely in May 2023. Thanks to all. Have a great day.
Operator: Ladies and gentlemen, with that, we’ll conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.